Jean-Mari Pretorius: Good afternoon, everyone, and welcome to Acomo's Investor Call for the 2025 Full Year Results. Thank you for joining us today. We appreciate your continued interest in Acomo. My name is Jean-Mari Pretorius, and I will be hosting today's call. Joining me is our Acomo Group CEO, Allard Goldschmeding; and CFO, Mirjam van Thiel. During this call, we will walk you through the highlights of our performance for the period, discuss developments across our business segments and provide further context around market conditions and our strategic priorities. The Q&A will take place at the end of the presentation where we will open the floor for questions. [Operator Instructions] Before we begin, I would like to remind everyone that today's discussion may include forward-looking statements. These statements are based on our current expectations and are subject to risks and uncertainties that could cause actual results to differ. Please refer to the disclaimer included in our press release for further details. We will now continue with the 2025 full year results. Firstly, I would like to hand over to our Acomo Group CEO, Allard Goldschmeding.
Allard Goldschmeding: Good afternoon, everyone, and thank you for joining us on today's call. In a world that continues to present both challenges and opportunities, today's call will focus on Acomo's strong performance in 2025 and the path forward. While the broader outlook for the global economy, sea freight rates and product availability in 2026 remains uncertain, navigating complexity is not new to our business. Last year, we successfully managed a range of external factors, including tariffs and significant cocoa price volatility. Our resilient business model, combined with the expertise and commitment of our people, has once again enabled Acomo to adapt effectively and deliver solid results. Today's agenda will cover several topics. I will start with the key highlights that characterized our 2025 performance. I will also discuss how our results compare against our midterm strategy and objectives, which we shared during our Capital Markets Day last April. And I will discuss a few examples of the initiatives we took during 2025. Mirjam will then cover in more detail the financial performance of the group and of the individual segments. At the end of the presentation, I will finish with a look ahead to 2026 before we take your questions. 2025 was another record year for Acomo in terms of sales, profitability and earnings per share. We are very happy with this overall performance, and this reflects the drive to perform of our people. Our teams bring unique capabilities that are highly relevant to our suppliers and our customers and enable us to support them effectively. Excellent results in 3 out of 5 segments are proof of the ability and expertise of the Acomo teams in managing volatile market environments and the strong attributes of our business model that offers resilience through diversification. By a volatile environment, I mean mostly in terms of price developments, geopolitical developments and changing regulations. In the Spices & Nuts segment, all our companies delivered record high results. The continued impressive performance and the attractive long-term market outlook make our Spices & Nuts segment a natural area of focus. We have expertise and we have scale, which provides a strong foundation for further expansion. The Organic Ingredients segment showed a very healthy recovery from the negative impact of cocoa hedging in previous years. This recovery started in the second half of 2024 and continued in 2025. The Tradin Organic team was able to manage the price volatility and delivered strong results this year. Besides cocoa, the business also posted positive results for other product groups, reinforcing our confidence in the segment's portfolio. We also made substantial progress in improved alignment of the organizational structure as well as our portfolio investment decisions. Food Solutions also delivered a record year in 2025. Demand for both dry and wet blends remained robust throughout the year, driven by sustained consumer interest in plant-based, clean label and culinary solutions. The business was further supported by the commissioning of the new wet blend facility in Oostende in 2025, which became operational before the summer. The new facility provides a significant increase in capacity and flexibility with the opportunity to triple the output. The year was, however, not without its challenges. In particular, our Edible Seeds segment experienced a difficult year, driven by a mix of challenging market conditions and operational issues. Let me provide a brief overview as Mirjam will address this in greater detail later in this presentation. The challenges that materialized in the first half year and which we spoke about in our H1 call continued into the second half. Tariff uncertainty in the North American market continued and made pricing decisions complicated. Alongside higher input costs, this placed pressure on margins. Next to that, the impact of restrictions on U.S. grown sunflower seeds to export markets continued to have an impact in 2025 as the measures to compensate with new growth avenues do take time. On top of these market effects, our SunButter plant was affected by production issues, which caused a temporary stop in production in the fourth quarter. Production resumed towards the end of January 2026. The result is a more negative overall picture than is warranted based on the fundamentals of the segment, which remains solid. To address this, we have made the necessary strategic and organizational changes in North America, and the business is expected to largely trend back towards normal performance levels. The Edible Seeds business delivered a resilient performance despite market price pressure on key seed categories. The Tea segment faced continuous pressure on sales volumes throughout the year, reflecting ongoing destocking by customers, oversupply and more fragmented buyer landscape. The implementation in 2026 of the new organizational and commercial model that I will explain later in this presentation is designed to respond more flexibly and effectively to changing market circumstances. As discussed during our Capital Markets Day, M&A is a tactical growth lever. We are, therefore, pleased to welcome Manuzzi to the group as of November. This Italian company represents the first foothold of our Spices & Nuts segment in the Mediterranean region, giving us access to an attractive market in terms of consumption patterns. I also want to call out that despite the relatively high level of working capital, our balance sheet remains strong. The characteristics of our business result from time to time in elevated levels of working capital. The unprecedented high prices of cocoa have resulted in higher inventory values. The strength of Acomo is that with our diversified portfolio, we can deal with higher market prices for individual product groups and can continue to make a sensible commercial calls. The 2025 performance resulted in a proposed full year dividend of EUR 1.40 per share, which is another record and an increase of plus 12% versus 2024. At the Capital Markets Day last April, we communicated our midterm targets in the areas of sales, EBITDA margin, balance sheet leverage and dividend distribution. With a total 2025 group sales increase of plus 7% to EUR 1.5 billion and an adjusted EBITDA increase of plus 9% to EUR 180 million, we are on track with these targets. Our current leverage ratio is impacted, as I mentioned, by the higher working capital consumption linked to the increased inventory values due to the high prices for a number of our products, in particular, cocoa. However, based on our current knowledge, we would expect the leverage to go down during 2026. As stated, the full year dividend is an increase of plus 12% versus 2024 and is consistent with our communicated payout ratio policy. The split of the results between the first half year of 2025 and the second half shows that the first half year was relatively strong. Historically, the performance was more or less evenly distributed between the first half and the second half. Since 2023, this has changed, mainly due to the enormous change in cocoa prices that had a material impact. Therefore, the half-year performance in those years was not a reliable indicator for the full year. For 2026, we expect price levels changes to be less extreme, which would result in an EBITDA distribution between H1 and H2 that is closer to historical patterns. The vision we discussed during our Capital Markets Day remains relevant and up to date. And the 2025 results underpin the trajectory towards the ambitions we outlined. Our value creation shows our focus areas and the way in which we address the market dynamics. We continue to execute along the lines presented, and let me highlight some examples, which demonstrate this more clearly. One of the elements of the 3 is scale. We strongly believe that scale is prerequisite to being effective and efficient in our industry and to create long-term value. In Q4 2025, we acquired Manuzzi, a leading Italian nuts and dried fruits company. Through this acquisition, we are expanding the Spices & Nuts segment footprint in Southern Europe. The culture of this family business is a good fit with our Acomo entrepreneurial spirit and through cooperation with the Delinuts in the Netherlands and the Nordics, we will create synergies. These synergies will be focused on growing the top line. By using the available Acomo capabilities and the broad product portfolio we have, Manuzzi will be able to expand its offerings. The company also has its own state-of-the-art facilities, including modern packaging lines with sufficient room for further growth. As part of creating resilient and responsible supply chains, Tradin Organic joined the Nature Positive initiative. These initiatives gather some of the world's largest sustainable business and finance coalitions to broader -- to support broader long-term efforts to deliver nature-positive outcomes. It supports farmers in adopting regenerative and resilient practices, which is aligned with a number of initiatives that Tradin Organic had already begun. The outcome is improved soil health and restored biodiversity, consistent with product quality and supply. Then to increase the benefit from its global reach and have a closer connection with customers, Royal Van Rees Group is transitioning to a centralized business model that consolidates the commercial, trading and strategic functions within a central hub. This enhances customer intimacy and focus and offers our customers improved multi-origin solutions. Our customers will have a single point of contact that covers multiple origins and our local offices will enable efficient physical execution. The new setup will phase in during 2026. Lastly, our value creation 3 is rooted in ESG, and I'm happy to report that for the second year in a row, we obtained limited assurance from our external auditors on the sustainability statement in our annual report. We achieved a substantial reduction in our Scope 1 and 2 CO2 emissions as a result of our efforts to increase the use of renewable energy sources. Other initiatives are an SBTi project at Delinuts and the installation of a lightweight solar panel construction at King Nuts & Raaphorst on the roof that could not carry the usual solar panel construction. Tradin Organic continues their dynamic agroforestry product in Sierra Leone and the farmer livelihood product in Indonesia next to the nature positive initiative that I mentioned. With that, I would like to hand to Mirjam van Thiel to take us through the detailed financial performance.
Mirjam Thiel: Thank you, Allard. Let's start with the overall P&L of the Acomo Group. As mentioned by Allard, we achieved record growth this year with an increase in sales of 7.4%. On constant currency, the increase is actually much higher, close to 10% as we had some FX headwinds, in particular, stemming from the U.S. dollar to the euro. Now from a cost management perspective, you will see that our COGS increased at a lower pace in proportion to sales, which in turn led to an expansion of our gross profit margin by 1.8 percentage points. Looking at our G&A expenses, we see an increase of 5.8%, which reflects inflation and some additional costs due to M&A projects and investment in people. This resulted in an increase in our operating income of 43.5%. Looking below the operating income, we benefited from lower financing costs because of lower interest rates. And this, together with the higher operating income, led to an even more significant year-on-year improvement of our net profit by 64% to EUR 74 million. Let's then move over to the key KPIs on an adjusted basis. Adjusted EBITDA grew by 8.7% to EUR 118.2 million. The difference between reported and adjusted is mainly due to the impact of unrealized results on FX and sales hedges and exceptional items related to our Edible Seeds business in the U.S. On the next slide, I will share some further detail on this. You see that there is an increase in the EBITDA margin from 8.0% to 8.1%. As communicated at the CMD, we want to move towards 9%. Excluding some of the exceptional items we had this year, we would have progressed further towards that goal. So overall, we are on track with our ambition. Adjusted earnings per share improved by 8.8% to EUR 2.18, which is a record performance for the company. On the right, for added context, you will see the contribution share for each of the segments in which we are active, and I will discuss those in detail shortly. Moving to Slide 14, where you see the bridge between the reported and adjusted EBITDA. As mentioned just now, the main difference is due to the unrealized noncash results on our CX and FX hedges. That includes the revaluation of outstanding hedges to the market value at the date of reporting. The main impact here comes from the outstanding hedge contracts on cocoa. Last year, due to an increase in the cocoa market price towards the end of the year, the reported results included a negative impact due to the revaluation of outstanding hedges. This year, we saw the opposite. Cocoa prices declined towards the end of the year, which increased the value of the outstanding hedge contracts. We exclude this from the reported numbers. Once we settle the hedge contracts, we book the realized results, which normally we time together with the physical sales. The other impacts specifically related to 2025 are the exceptional items in Edible Seeds. These exceptional items relate to organizational restructuring and the cost related to a production issue in one of our facilities. This relates to the Edible Seeds business in the U.S., which I will cover in a minute. We thought for transparency purposes, it will be clear to outline these items as they are clearly nonrecurring by nature. Let me now take a closer look at the performance per segment. Let me start with Spices & Nuts, one of our key segments. This segment has been growing for several years. And in 2025, it delivered an all-time high performance. And what we are even more proud of is that every company in this segment delivered a record performance. Revenue benefited from sustained demand and higher market prices for most products. To share some examples, one of our key products is desiccated coconut, which is grated and dried coconut. In the last 1 to 2 years, we saw a sharp increase in prices. And also in 2025, prices were elevated globally due to reduced coconut supply and strong export demand. And also for some of the key nuts such as cashews and almonds, we saw high prices in 2025. There is sustained demand despite the high prices, and this is reinforced by the overall megatrend of increasing demand for plant-based products. All in all, we continue to expect this trend of increased demand to persist and hence, a relatively high pricing base. At the same time, how this develops year-on-year is to be seen. Also included in this segment are the 2 bolt-on acquisitions we made recently with Delinuts Nordics in August 2024 and Manuzzi in November 2025. Turning to Edible Seeds, where we have faced a series of challenges due to a mix of market conditions and operational issues. Before I go into the challenges, I want to be clear that we strongly believe in the fundamentals of this business. Let me take a step back. Within this segment, we have a sizable business in the U.S. in which we process sunflower seeds and use them to make various products, including well-known retail brands such as SunButter. In the U.S., we are also seeing an increase in demand for cleaner label, plant-based alternatives and allergen-free options. The attributes of sunflower seeds are perfectly aligned to these trends, and we have developed our leadership position in this market. In addition to the U.S. business, we have a smaller seeds business in Europe. But back to 2025. Let me recap the challenges we flagged to you in our H1 investor call and explain more about what we have faced in the second half. First, we spoke about the impact of the restrictions of U.S. grown sunflower seeds to some export markets. As anticipated, it will take time to offset this lost stream with new business. Second, we saw tariff uncertainty continuing, making pricing decisions complicated. That, together with higher input costs, placed pressure on margins. On top of that, our SunButter plant was affected by a production issue causing a temporary stop in production in the fourth quarter. The issue has been resolved and production resumed towards the end of January. Now how we tackle these challenges and what are the prospects for the segment, turn with me to Slide 17. Consequently, you can see the margin decline in this segment. Our top priority is to restore profitability. The corrective actions we have taken include improvements, including full cleaning of all equipment, improved preventive maintenance and equipment modification. We also implemented organizational changes, including the appointment of a new CEO, and we created center of excellence. Also on this slide, you see some more specific actions by each category, including price increases that have been implemented. Included in exceptional items and excluded from the adjusted EBITDA are items that are exceptional by nature, which include the cost for restructuring the organization and extraordinary cost items and under absorption due to the specific production issue. So remaining in the adjusted EBITDA, but to some extent, temporary are missed sales in SunButter due to the Q4 production issue and lower margin due to misalignment between higher input costs and sales prices. On top of that, we are starting to see the impact of the other corrective actions we have taken. So as I say, we fully believe in the strong fundamentals of this business, the power of the sunflower and a diversified business model. This supports our expectation of a recovery to a normalized performance level over the coming years. Then looking at Organic Ingredients. We have achieved an excellent performance across all categories within this segment. We see in general an increase in demand for organic food and beverages in the market. For example, the Organic Trade Association in the U.S. reported that the organic sector was growing at more than double the pace of the overall food market. Specifically on cocoa, as you all know, the market has been very volatile in recent years with big price swings. After the sharp increase in the first half of 2024, the price remained elevated up until the start of the second half of 2025 when it started to reduce and has reduced even further in the first months in 2026. Within that dynamic market, the team has been able to secure supply and continue to offer the best quality and required specifications to our customers, which is a commendable achievement and has allowed us to continue to excel despite the external turbulence. It had an impact on working capital, which I will cover in a minute. There was also some catch-up effect of delayed volumes from 2024, especially in H1, which contributed further to our strong 2025 performance. Besides cocoa, as I mentioned, we also saw a strong performance in the other categories. The fruit and vegetable business continued to show strong momentum with accelerated growth, while nuts and seeds and oils and fats delivered consistent sales growth with improved margins. Coffee achieved record high sales and succeeded in growing volume when prices were elevated. Then moving on to tea. The tea business is operating in a challenging global environment. Some of the larger branded players are losing share. And as a result, we see a more fragmented customer base. Also, global tea supply remains elevated. Despite these challenges, the business demonstrated gross margin resilience. As Allard already explained, we will strengthen the collaboration across the Van Rees Group by implementing a more customer-centric business model that will drive additional value to our customers. For Food Solutions, we saw a record EBITDA performance, driven by strong volume development for the dry and wet plants, resulting from the sustained demand for plant-based, clean label and culinary solutions. Further commercial development was driven by a strong entrepreneurial spirit in R&D, combined with new long-term partnerships with customers. We are especially proud of these results as at the same time, the new wet plants facility became operational. The new facility is set to support scaled up production for the coming years, as mentioned by Allard. Now over to the cash flow development. Looking at the operating cash flow, excluding working capital, we posted a year-on-year increase of 12%, effectively reflecting our profitability improvement. On the bridge, you can see the main drivers from the EUR 120 million in operating cash flow, excluding working capital to the net cash from operations. The largest swing is obviously driven by EUR 164 million working capital consumption during the period, and I'm going to spend a bit more time on this on the next slide. Next to that, we had a reduced outflow from cash interest expenses due to lower interest rates and a slightly lower effective tax rate. Let me now go back to working capital. Here, you can see the development over the last 4 years with the orange line representing the total working capital and the green line, the investment in inventory. You will see that the increase in working capital is driven by higher inventory value. Based on market prices, availability of stock in the market and the positions we take, the inventory value will move up and down. In 2025, the higher inventory value is mainly coming from 2 parts. One, due to shortages in the previous year, we are holding more cocoa inventory at higher prices. And besides, we saw higher market prices within the Spices & Nuts segment. So here, there is an extra outflow due to the prices of the various inventory we hold, but this is something that is fully embedded in our business model. With everything remaining equal, our trade payables and receivables remain broadly unchanged. We expect working capital to go gradually downward in the course of 2026, mainly a reflection of the pricing dynamics of our commodities. Finally, before handing back to Allard, let me talk briefly about our liquidity and leverage. As we explained at the CMD, we see working capital as a commercial instrument. And we have enough financial headroom to deal with this, which is where the added value of the holding comes into place. The diversification of the portfolio gives us the financial headroom we need. The strength of our balance sheet enables us to deal effectively with increased working capital. We remain committed to our long-term targets. And we have also shown in the past that we could temporarily absorb a higher leverage and have also been able, you see it on the chart, to deleverage, a function of the EBITDA growth we want to achieve and lower working capital requirements as inventory levels will gradually reduce. With that, I would like to hand back to Allard.
Allard Goldschmeding: Thank you, Mirjam. As we move to 2026, I would like to share a little more on our views and initiatives for this year. The market dynamic of a positive trend towards plant-based diets is expected to continue, providing a strong fundament for our business. I started this call by referring to the latest geopolitical development. The impact on the global economy and our business cannot be predicted. However, our people and our business model are positioned to deal with this in the most effective way as we have proven in previous years. We will continue to build routes to healthier foods. A specific development for our organic business is the cocoa price development. Prices dropped from USD 6,000 per tonne at the end of 2025 to around $3,000 per tonne today. This level is not far from the historic normal levels. This would indicate that the cocoa market is moving to more regular price levels, although we still see major daily swings. A continued lower cocoa price level should lead to lower working capital levels, as Mirjam already mentioned, and normalized profitability. The actions we have taken in our Edible Seeds business in the U.S. should allow us to progress towards improved profitability levels during 2026, considering that the fundamentals of the business are strong and attractive. Based on our 2025 performance and our expectations for 2026 and beyond, we are committed to the midterm ambitions we communicated during our Capital Markets Day. Finally, I would like to mention that 2 new nonexecutive Board members will be proposed at the AGM in April as communicated in our press release that was issued this Tuesday. Jan Piet Valk and Barbara van Hussen have relevant Board, governance and M&A experience and will be a great addition to our Board. With that, I would like to hand it back to Jean-Mari.
Jean-Mari Pretorius: Thank you, Allard, Mirjam. To summarize, today, we have discussed our performance for the period, the key drivers across our segments and the broader developments impacting our business. We now open the lines for the Q&A.
Jean-Mari Pretorius: I see we already have one question coming through. The question states, will the trend of H2 2025 continue? And what is your view for 2026?
Mirjam Thiel: Thank you, Jeanie. Let me maybe comment on the second half to start with, the second half of 2025. A few things important there is, one is our reported sales improved with 2%, but we had a currency impact, of course, of the dollar to euro. So if you look at it on a constant currency, we actually grew in the second half with 5% and that 5% is against a strong H2 we had in 2024. And what Allard already explained, the phasing has been a bit of, let's say, between H1 and H2, and we expect to go to a more evenly phasing going forward. But this H2, we were comparing versus a high H2 in 2024. And then the last element which impacted the second half was, of course, the slow performance at Edible Seeds. And there really, we saw there the continuing of the market challenges and then compounded really in Q4 with the production issue that we faced. So those elements really impacted our second half performance. So maybe, Allard, you want to talk a little bit about 2026.
Allard Goldschmeding: Yes. Thank you, Mirjam. I mean based on, let's say, what Mirjam just said, there are a couple of components that in 2026 will be different than in 2025. So one of them, obviously, is what we mentioned, the edible seeds development. It was impacted, and we expect that during 2026, this will trend back to the normal or the normalized performance levels. So I think that's important. The other thing is that cocoa prices will come down. The question is what is going to happen to other commodity prices or prices in our portfolio. So what the exact sales development will be, that's to be seen. Like we said that the split between H1 and H2 had a major impact in 2025 versus 2024. But also if we look at 2026, we expect it to be more even. And if it would be more balanced and more even, you should expect or you can expect that the EBITDA potentially can be in H1 2026, a little bit below H1 2025 and that we will catch up in the second half of 2026. So it's important to understand that we will look at the full year performance and our objectives and that the split between H1 and H2 in 2026 can be very different than we saw in 2025. So I think that's important to mention.
Jean-Mari Pretorius: Okay. Thank you. I see we already have our first caller on the line. It is Reg Watson from ING.
Reginald Watson: Allard and Mirjam, I have a number of questions for you both, please. So I'd like to take them in turn. Firstly, the working capital. I think, Allard and Mirjam, you've both highlighted higher cocoa prices and I think, in particular, higher volumes. When I look at the evolution of cocoa prices, '25 is no different from '24. In fact, on average, probably slightly lower. But -- so I'm not sure if that's the reason for the higher working capital. Mirjam, you mentioned higher volumes. And then my question on that then is, if it was higher volumes, why would you take higher volumes in '25 when in '24, you were suffering a demand shock, and you actually had too much volume. So I'd like to understand the dynamics of that. That's the first question.
Mirjam Thiel: Yes. Right. We were actually coming from a shortage, right? So in 2024, inventory was actually in volume very low. So we -- there is indeed an impact when you compare '25 volume levels, specifically in cocoa in '24 on higher volumes because '24, the base is very low. So we really build up normal stock levels again. And then on average, of the stock we are holding, the price is higher now in 2025. So there's, of course, a little bit of a lagging impact versus the market price development in the inventory value that we're holding.
Allard Goldschmeding: Reg, maybe to build upon that, when we contract the volumes, it's not evenly spread out over the year, right? So we contract the crops. And that is at a specific point in time of the year where the price can be much higher than what you have seen at the end of the year. So I understand you're right, the average price during the year is different, but that's not the price we contracted against.
Reginald Watson: Okay. Okay. So that accounts for the variability. And then I'd like to move on to Edible Seeds. It's been a thorn on your side. I think at the time of the Capital Markets Day, correct me if I'm wrong, but there was an expectation that we would have run through the anniversary of the problems by the time we got into the second half of the year. And it seems that the problems continue. Have I misunderstood that, misremembered that? Or have additional problems arisen in the intervening period?
Allard Goldschmeding: No, I don't think you misunderstood it. What we've seen is that the consequences were more severe than we anticipated originally. It took longer to get rid of the products that we still had. So the exports issue, which you probably referred to, indeed, we mentioned and at the time, we thought that, that would fade out. But in reality, the aftermath of that was longer and had a bigger impact than we expected. So yes, but we should be through that now.
Reginald Watson: And -- okay. But you are confident that, that is now done and dusted?
Allard Goldschmeding: Yes, because we still had to clear all inventory and let's say, the price levels against which we could clear that inventory was below what we -- below our expectations.
Reginald Watson: Right. Okay. And then just a technical question on the dividend, Allard, I think in your prepared remarks, you mentioned that it was in line with policy. But again, I seem to recall that the dividend policy is 70% payout ratio. And I think unless I'm much mistaken, the ratio is lower than that for this year.
Allard Goldschmeding: Yes, the ratio is 65%. So you're right, that's a little bit below the 70% that we communicated. But 70% is an average, right? And we look at different things. So first of all, it's the performance of the company. Secondly, it's available cash or the cash position we have. Thirdly, it's other investment opportunities we see like M&A opportunities. So when you put that all together, we came to this proposed dividend, which we feel is completely in line with our communicated policy.
Reginald Watson: And then final question on tea. You very helpfully provided a slide in the presentation pack, which sort of noted some of the changes that you're making. Could you perhaps flesh -- give us some flesh to those bones, perhaps a work example of how things have worked in the past and how they will work in the future and what benefits you expect those changes to bring?
Allard Goldschmeding: Yes. No, fair. Now what we've seen is that historically, Van Ree very much operated from a local level. So yes, there was central oversight, and the strategic direction was obviously set at the central level. But the local offices, to a high degree, maintained their own commercial operations and approach themselves the customers they had. What we've seen changing basically in the industry that the customers are looking more for -- are more flexible, let's say, in buying tea and in looking for what I tend to call multi-origin solutions. So for example, if a certain grade or a certain price of tea in Kenya is not competitive to Ceylon or to Indonesia, we can -- they are basically looking at other origins as well. And my belief is that we can be more efficient and more effective by centralizing that approach and to be a sparing partner for our customers to help them actually making the right calls. So the central multi-origin solutions that we can offer to the key customers will be crucial to be closer to customers to better understand them and therefore, be more effective. So it means, in the essence, a little bit of a shift or it means a shift from certain responsibilities that were embedded in the local organizations. And again, whether it's in Africa or in Asia or whatever, to more the central hub where they will make the calls and that will be a change to the organization, which, in our view, will be for the better because, again, the tea market has changed, and tea buyers have changed their behavior.
Reginald Watson: Okay. So just so I'm clear, so reading between the lines there, basically the local organizations were more incentivized to promote their local origins rather than helping customers source more efficiently other origins of tea. Is that my understanding, correct?
Allard Goldschmeding: Well, the way I would phrase it that they had less visibility on alternatives for the origin. So their knowledge was on their local origin. And they -- it took more time to react to changed consumer or customer behavior and now we centralize that. So we can now proactively offer other origins if we see that the preference of certain customers is changing. So I think we will be faster and more effective.
Reginald Watson: And with that centralization, will that come -- will therefore -- will there have to be exceptional costs taken in the local organizations then for this?
Allard Goldschmeding: No, no, no.
Reginald Watson: Great. Those are all my questions. Sorry to monopolize the performance.
Allard Goldschmeding: Thanks, Reg.
Jean-Mari Pretorius: Thank you, Reg. We have another question coming through. This question states, what M&A projects is Acomo working on? If you can prioritize on a segment basis, what would have priority and why? Example, consumer preferences and diets, food safety, price development, raw materials, labor cost development.
Allard Goldschmeding: As we stated at our Capital Markets Day that M&A, and I think we also included that in the presentation today. The M&A is an important part of our growth trajectory and our ambition towards where we want to be in the midterm. So we are looking at different M&A opportunities. What we've communicated before is that our prime focus will be our Spices & Nuts segment, and that will be in Europe and in the U.S. We will look at Edible Seeds, which will be a little bit more geared towards the U.S. Organic, we are looking at how can we strengthen the portfolio. Tea, like I said, we focus more on changing the organization, and that's our prime priority now. And thirdly, we will look if we can expand our Food Solutions presence, but that will be mainly in Europe. Those are the priorities.
Jean-Mari Pretorius: Great. Thank you, Allard. Another question here is this is a question on artificial intelligence, so AI. Is AI also applicable in a company like Acomo? And do you see AI as an opportunity or a threat?
Mirjam Thiel: It's an interesting question. I think AI, I think, is in everybody's mind at the moment, and it's impacting, of course, all of us, I think, in a certain way. I think for us, it really is about our processes, right? How can we make it more efficient? And you can imagine that in the trading that we're doing, we're collecting a lot of data. We need to get everything in order for all the certifications for all the quality requirements, et cetera. So there's a lot of data we are processing. So I really see the benefit in more -- making our processes more efficient. So for sure, there is an opportunity for us there. I think really, if you look into the core activities of what we are doing, that is a people business. So in that sense, we are less impacted because really the work of the traders, the knowledge of the traders, making means out of all the different data that is there, yes, we very much believe that, that is really the human capital that we have. And hence, yes, that is less impacted by AI. So it's more about the processes than the core of our business model.
Jean-Mari Pretorius: Thank you, Mirjam. Well, this concludes today's call based on our time. Thank you once again for your time and your continued interest in Acomo. We look forward to speaking with you again for the 2026 half year results. Have a good day.